Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q1 2013 Melco Crown Entertainment Limited Earnings Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, Wednesday, the 8th of May, 2013. I would now like to hand the conference over to your first speaker for today, Mr. Geoffrey Davis, Chief Financial Officer of Melco Crown Entertainment Limited. Thank you, sir. Please go ahead.
Geoffrey Stuart Davis: Thanks, operator, and good morning, everyone. Thank you for joining us today for our first quarter 2013 earnings call. On the call with me today are Lawrence Ho, Ted Chan, Constance Hsu and Ross Dunwoody. Before we get started, please note that today's discussion may contain forward-looking statements made under the Safe Harbor Provision of federal securities laws. Our actual results could differ from our anticipated results. I will now turn the call over to Lawrence.
Yau Lung Ho: All right. Thank you, Geoff, and good morning, everyone. In the first quarter of 2013, we reported EBITDA of USD 274 million on approximately USD 1.1 billion of net revenue, delivering an EBITDA margin of approximately 24%. Our record EBITDA and EBITDA margin performance in this quarter demonstrates our commitment to fully leveraging our competitive strength by catering to the high-end and premium customers across both mass and rolling chip segments, while maintaining our strict cost-control discipline. City of Dreams has further solidified its position as the dominant premium and high-end mass market casino in Macau, with mass table yields substantially higher than all flagship properties in Macau. Our competitive advantage in the premium mass segment is derived from the fact that City of Dreams was purposely built for attracting premium customers, including its unique hotel inventory, retail and food and beverage offering and its world-class entertainment attraction. We have developed an in-depth understanding of these customers over the past 3 years and continue to develop our current customer base while also attracting new customers. Our casino marketing initiatives, including our market-leading casino awards and hosting program, drives loyalty, which is evident in strong repeat business. As a result of the continued strength in our mass market segments, particularly at City of Dreams, we have captured meaningfully mass market share, despite increased supply and additional competition in the premium mass segment. Our strict approach to player reinvestment, particularly in the premium mass segment, ensures that we focus on the most profitable customers in a strategic manner. Our margins across all our mass market table game segments, driven by the higher margin premium mass segment, have shown strong improvements during the quarter, building on the margin expansion over the previous 12 to 18 months. Primarily, as a result of our success in this segment, our group-wide luck-adjusted EBITDA margins expanded 150 basis points to approximately 24%. In addition to the obvious success we have had in the mass market segment, we've delivered record group-wide rolling chip volumes despite a relocation of tables from VIP into our mass business. On a year-over-year basis, our group-wide rolling chip volumes has expanded over 18%, significantly outperforming the market. This highlights the success of our ongoing table optimization strategy, whereby we focus on maximizing group-wide EBITDA by yielding up each individual table. Turning to the market. The rolling chip segment has shown signs of renewed strength while the mass market segment continues its impressive growth trajectory. We remain optimistic regarding the outlook for 2013 and beyond. The Macau government has made significant progress on a number of development initiatives, including the light rail system and border expansion. Regionally, Hengqin Island continues to develop, while the Hong Kong–Zhuhai–Macau Bridge moves closer to realization, both of which will be key drivers of Macau's medium- to long-term growth. Moving on to our exciting growth pipeline. We recently closed a transaction with our co-licensees and also successfully completed a top-up placement in the Philippines via our Philippines Stock Exchange-listed subsidiary, raising approximately USD 325 million of net proceeds, excluding the over allotment option, which when combined with the shareholder loan commitment from Melco Crown Entertainment, are expected to provide the necessary funding to open and operate our integrated casino resort in Manila Bay. We intend to fully leverage our experience and expertise in delivering unique entertainment attraction into this exciting and fast-growing market, ensuring our integrated resort will offer a broad spectrum of leisure and entertainment amenities to customers when we open in mid-2014. We will also fully leverage our extensive understanding of the junket- and premium-player universe garnered through our wide-reaching VIP operations in Macau, which we view as a significant competitive advantage. We believe the Philippines market offers us an ideal opportunity to showcase our extensive capabilities in designing, constructing and operating world-class integrated resorts, representing a great platform for future expansion throughout Asia. Studio City, our cinematically themed mass-market-focused integrated casino resort, remains on track to open in mid-2015. The project remains on time and on budget, with expected design and construction costs remaining at USD 2.04 billion. We also continue to move forward with our phase 3 expansion at City of Dreams, which will provide the property with another powerful lever to grow the business meaningfully, expanding company-wide return on investment metrics. We are optimistic that we'll break ground before the end of the year. Our balance sheet has strengthened materially over the past 24 months as a result of impressive cash flow generation from our operating assets, while at the same time, we have taken proactive steps to maximize the efficiency of our capital structure through various structuring initiatives. A recent example includes the refinancing of our existing 10 1/4% coupon debt with the 5% coupon USD 1 billion high-yield bond, which meaningfully lowered group-wide interest cost. As a board and management team, we constantly review and monitor our capital structure, ensuring we deploy capital in the most effective way to drive long-term shareholder value. We believe our growth pipeline, including the Philippines project, Studio City and phase 3 of City of Dreams, will all meaningfully drive value to our shareholders. Any future opportunities will also be evaluated based on our strict internal return on capital guideline. We are committed to maintaining an efficient capital structure, which in the absence of new growth opportunities will potentially involve the return of capital to shareholders, including through either dividends or buybacks. Thank you for that, and back to Geoff.
Geoffrey Stuart Davis: Thank you, Lawrence. We reported adjusted EBITDA of $274 million in the first quarter of 2013 compared to $242 million in the same period in 2012. Our EBITDA margin in the first quarter of 2013 was approximately 24%, compared to 23.5% in the first quarter of 2012 and 22.5% in the fourth quarter of 2012. On a luck-adjusted basis, assuming a VIP win rate of 2.85% across our entire rolling chip business, our first quarter 2013 EBITDA was approximately $280 million, $280 million, an increase of approximately 33% when compared to the first quarter of 2012 and up roughly 10% sequentially from approximately $255 million in the fourth quarter of 2012. The EBITDA contribution from our non-VIP segments continues to represent approximately 75% of luck-adjusted EBITDA at City of Dreams and approximately 2/3 of luck-adjusted EBITDA on a group-wide basis. Highlighting our proactive approach in managing our capital structure, we recently successfully refinanced our 10 1/4% senior notes and RMB notes predominantly through our USD 1 billion 5% coupon senior note offer. This opportunistic transaction has resulted in a reduction in recurring net interest cost by approximately $30 million in relation to the $600 million 10 1/4% borrowing. As we mentioned on the last quarterly earnings call, as a result of this refinancing, we incurred a one-off accounting charge of approximately $61 million related to the extinguishment in modification of debt. Separately, we recently paid down the outstanding balance of our revolving credit facilities of approximately $210 million, reducing annual interest costs by over $4 million. As it relates to our Studio City financing, we effectively secured project financing on a substantially nonrecourse basis at very attractive rates and customary covenants providing a fully funded plan. Our net debt as of March 31, 2013, was approximately $214 million and our net debt to shareholders equity was 6%. Now as we normally do, we'll give you some guidance on nonoperating line items for the upcoming quarter. Total depreciation and amortization expense is expected to be approximately $90 million to $95 million; corporate expense is expected to come in at $20 million to $22 million; and consolidated net interest expense attributable to MCE is expected to be approximately $40 million to $42 million, which includes finance lease interest of $10.8 million relating to the Philippines development and approximately $11.8 million of interest associated with Studio City. This reflects approximately $6 million of capitalized interest related primarily to Studio City. That concludes our prepared remarks. Operator, back to you for the Q&A.
Operator: [Operator Instructions] The first question comes from line of David Bain from Sterne Agee.
David Bain - Sterne Agee & Leach Inc., Research Division: Guys, I was wondering if you could opine on any tax change issues in the Philippines?
Yau Lung Ho: David, it's Lawrence here. I guess you're referring to the BIR that was recently issued by -- I think we've disclosed it in the offering memorandum. And at the same time, I think the 4 licensees in Entertainment City, together with Pagcor, all united on this front end. We are seeking a joint resolution on this front. We have been aware of this potential and I think we are hopeful and a bit confident that we have a legally arrangement with the government via Pagcor and that, potentially, this additional income tax issue could be neutralized by a reduction of payments to Pagcor. But I think the important thing is that the 4 licensees in the Entertainment City are all united on this front. And Pagcor understands the fact, and the Philippine government understands the fact that there are billion dollars of investment to be invested in Entertainment City and if there was a kind of a game change or a rule change at this stage, that would obviously impact that. So I think, all in all, with what's happening in the market and how positive it is, we are hopeful that the government will do the right thing.
David Bain - Sterne Agee & Leach Inc., Research Division: Okay, great. And then just 2 more, if I could. One was, any other opportunities to further segment City of Dreams? So like the Signature Club or even Altira, is that something that maybe that City of Dreams contemplated in phase 3 for more premium mass, I'm speaking to?
Yau Lung Ho: Yes, David, it's Lawrence again. Let's not just run into the differentiation of the segments and how well City of Dreams has been doing on premium and mass. But I think the -- as we said in the prepared remarks, we are hopeful that we can get started on the phase 3 hotel development, which is a 1.5 million square foot GFA development, before the end of the year. What we're proposing to build is an iconic hotel, but at the same time, we believe that, obviously, there's a cable car. The fact that the building is going to be as iconic as it is will give us the best possible opportunity to get potentially more tables in the future. But as we said earlier on as well, from a ROIC standpoint, even without gaming tables, the further differentiation of the premium mass segment, which that hotel is going to be focused on, we are confident that the incremental revenues derived from that will be -- will give us a great return. But I think with regards to the mass and premium mass segments, Ted, do you have any...
Ying Tat Chan: Sure, Lawrence. I think apart from the longer-term addition of another tower on COD in the next few years, in the more immediate or short term improvement of this segment, which is looking at all of these improvement in the whole percentage in our premium mass area will continue to do the right thing, which is more about the premium offering. You may notice that we have done numerous improvement on the casino floor as well as the property, that brought the whole area looks more luxurious. And also, we look at the segmentation on the casino floor as well. We continue to improve the 2 major Signature Club area while improving their service. So you will notice in the next 2 quarters, some improvement in this premium mass area, with nicer equipment, as well as the service element that we're bringing to the property. So and that'll show in the shorter term, it's more about doing the right things better and improve on the service on these particular premium mass areas.
David Bain - Sterne Agee & Leach Inc., Research Division: Okay, great. And just because it wasn't asked on any other conference calls, I think, Lawrence, can I ask you, the smoking regulations, the partial smoking ban, do you see that as maybe being revisited in the near term? And maybe can you give us your view of any potential interpretations that are being discussed?
Yau Lung Ho: Well, David, it's Lawrence again. Obviously, our employees are our #1 priority and we want to do what's right for Macau and what's right for our employees. But at the same time, we recognize that there is still more work to be done and the quality of the air in the casinos needs to be improved further. I think to be honest, some of -- we will work very closely with the government to get to those standards. I think right now, those standards -- the air quality is probably cleaner than most hospitals. But sure, we will continue to work towards that goal. But I don't want to speculate on what the government will ultimately do. But again, I think we -- the benefit of operating in Macau is that we have a very open-minded government. And we work very closely with the government. Because, Dave, do understand that 80% of their annual budget comes from gaming-types revenue. So I think there's going to be a sensible resolution to all of it. But needless to say, in the best interest of our most valuable asset, which are our colleagues and employees, we will do what's right.
Operator: The next questions comes from the line of Billy Ng from Bank of America Merrill Lynch.
Hay Ling Ng - BofA Merrill Lynch, Research Division: Lawrence, actually, I have questions regarding the VIP market. Just want to get your view on the VIP market because like in the last 2 months, we see some pickup of the volume. If you look at the rolling numbers, it's been up about 8% to 10% in the last 2 months. Meanwhile, the China economy actually is not improving at the same time. So like what drove the pickup of the volume in VIP in your view? And do you see like junkets are being more aggressive lending out now? Or what drove the volume pickup?
Yau Lung Ho: Billy Ng, no, I think our view has always been pretty consistent ever since for the last 6 months. Because as you know, this past March, the 2 months ago, there was a once-in-a-decade China leadership transitional -- once-in-a-decade transitional thing. And that was finally completed in March. It started in October. And I think, ultimately, a lot of our customers wanted to be assure and remove the uncertainty that there was any significant change in Chinese policy. So I'm not surprised that people are more bullish about the Chinese economy. And I think the premier clearly says the priority is still to grow the economy at 8%. So -- and I was fortunate enough to be part of those meetings in March. So I think there was a collective sigh of relief with most people listening to those -- in those meetings. And ultimately, once that kind of last piece of uncertainty has been removed, I think that's why you're seeing our customers spending again. I think after the timing of Chinese New Year had a little bit to say with March because of the fact that the growth of the middle income earning bracket and the growth of the mass market were so significant, especially during this year in terms of the visitor volume, combining with better infrastructure, widening border gates and better train access. A lot of VIPs did stay away during Chinese New Year knowing how packed it was. But we are very happy that the strength is continuing from March, and April had another great month. And unlike last May, the Golden Week this year is -- it was much stronger than expected. So all in all, we are encouraged and -- which is why our view of the overall growth in the market is probably much higher than our original thinking at the beginning of the year.
Hay Ling Ng - BofA Merrill Lynch, Research Division: Then I have a couple housekeeping questions. And Geoff, you mentioned next quarter the guidance for interest is about $40 million to $42 million. So is that going to be a sustainable numbers, like meaning for the rest of the years or even next years that should be around the range? And whether you will see a pickup of the interest capitalized costs?
Geoffrey Stuart Davis: The gross amount should be a good number going forward as a run rate -- approximate run rate. I anticipate that our -- the amount of capitalized interest that we'd have would go up over the course of the year. But the number we provided for 2Q, I think, is a solid number, and then perhaps declining a bit over the remainder of the year.
Hay Ling Ng - BofA Merrill Lynch, Research Division: Okay. And also what is the budget -- CapEx budget for this year and next year's? If you start including the third tower -- the fourth hotel tower at COD?
Geoffrey Stuart Davis: Well, we haven't -- we're still working on phase 3 at COD. So I haven't had -- we won't be able to provide a CapEx number on that. I think on a subsequent call or the next couple of calls, we'll be able to provide more clarity on that. But if we exclude phase 3, we'll have CapEx in the next quarter of something in the $225 million range and wrapping up by about $25 million in the subsequent quarter, and then closer to $400 million in the fourth quarter. So that includes Studio City as well, obviously.
Operator: Your next questions comes from the line of Anil Daswani from Citigroup.
Anil Daswani - Citigroup Inc, Research Division: Can you comment a little bit on the margin expansion? Now clearly in the mass side, you did a record hold rate of 32%. Lawrence, do you feel that's sustainable going forward?
Yau Lung Ho: Hey Ted, do you want to -- it's obviously an area that we are very proud of. So Ted...
Ying Tat Chan: Yes. Anil, I think it's really the same though in the sense that first of all, we record our including all the case drop [indiscernible]. And that continued to improve. I think it's due to 2 main reasons, really about the number of customer [indiscernible] on year-on basis, as well as the average spend size of customer increasing. So you will notice that both the GGR and the turnover on those agreement for the mass gaming area is actually growing in a similar pace, which suggests that, that apart from those customers staying in the hotel, we seem to see City of Dreams become a destination of the premium market customer in Cotai, increasing the number pack transactory evidence in the last 2 quarters. So I truly believe that, that is a good train in the last, at least 4 quarters. And I think, as a matter of sustainability, I think it's all about doing the right thing, which is all about the service level as well as the efficiency of the floor. So I guess that's the 2 main reasons I think this is sustainable.
Anil Daswani - Citigroup Inc, Research Division: And the second issue, we also saw phenomenal margins in your non-gaming arena, with margin expansion both in the rooms, as well as in the F&B. Is that something that's sustainable going forward? Or is that a one-off for this quarter?
Geoffrey Stuart Davis: I think that while not a major contributor to the overall results, that's sustainable going forward.
Yau Lung Ho: Well, I think, Anil, I supplement that and think it is. Because, ultimately, when we first started, it was really our world-class attractions, clubs and food and beverage venues are all major amenities that supplement to build the brand equity of what we are offering. But as we have developed this, we are seeing obviously the -- Ted and the rest of the team have done a good job in focusing on margin, even on the non-gaming amenities. So on top of the benefit that is already derived, we are generating profit going forward. So we're very happy with what we are offering in Macau. And at the same time, we think in the Philippines, the non-gaming component will be an even bigger cost contributor. So we look to spread our DNA in that market in due course.
Anil Daswani - Citigroup Inc, Research Division: Last one for me. In the Philippines, over the next couple of quarters, clearly, there is going to be a little bit of a drag as you get the preoperating expenses going. Geoff, is there any guidance you can give us on the preopening expenses that we were expecting? I mean, obviously, there's the lease payments, but is there any other components that we should be aware of?
Geoffrey Stuart Davis: Well, in this quarter, our preopening expense of about $1.9 million, about 2/3 of that was Philippines. As that project ramps up, that will also ramp up into the mid -- over the course of the year, into the mid-single digits and then subsequent from that into 2014. But that's the sort of the current level. But that will increase over the course of this year.
Operator: The next question comes from the line of Brian Mullen from JPMorgan.
Brian Mullen: Just going back to the City of Dreams margin question. We're kind of wondering where you think they could potentially go longer term? Or if there's a natural ceiling there? Do you think they could potentially get to Venetian-like levels at some point?
Geoffrey Stuart Davis: We certainly benchmark ourselves against some of the competition in town and work to close that gap very diligently everyday through everything from blocking and tackling, whether it's fairly mundane things on photocopying and mobile communication costs to supply chain, et cetera, et cetera, et cetera. I think the primary driver, and I think there is room, is what's happening on the gaming floor and what's happening with the mix of business. Given the -- our success in the mass market business and that -- the strength in that segment overall, we do see a potential for a favorable mix shift over time, which will drive blended margin higher. And, Ted, do you have more to add to that?
Ying Tat Chan: Yes, sure. I think the question is really about the margin improvement and absolute EBITDA [indiscernible] rates. A couple of areas, first, I think gaming floor, we continued to see a positive trend in terms of hold percentage on the floor, as well as absolute revenue. For instance, in the last 2 months, our revenue on the casino floor is very, very close to our neighbor already and still is another strength, which contributes on a high margin. And secondly, I think our retail area, although it's relatively small compared to the neighbor, I think [indiscernible] up to a level which is quite comparable with the neighbor's. So I think I deduce, our kind of improvement in our positioning in the last few quarters is start to pay off in terms of it's nongaming, higher margin EBITDA contribution. So I hope that trend continue and you'll see more improvement, including in the next few quarters.
Brian Mullen: Great. I just had one follow-up. In the prepared remarks, you mentioned increased competition in the mass segment. Are there any signs that this could become elevated enough to cause pressure there? It doesn't seem like it but just if you can elaborate on that, that would be great.
Ying Tat Chan: This is Ted again. We do notice a lot of profit focused on the mass [indiscernible] mass segment and continue focus on this area. I think our focus more that a couple of years ago and that's starting paying off. If we track the reinvestment rate that we track closely what the dollar set we spend on the marketing niche over the last 4 quarters, I think the ratio is actually quite flat. We don't see any sense or signs of increasing income that percentage suggesting that either we are very competitive in terms of our competitiveness or assuming it's already become the premium mass definition.
Yau Lung Ho: Well, I think, as we've said, ultimately, as well, the City of Dreams was purposely built, from the very get go years ago, to focus on the premium sector. And so we are confident that we do have a great location with City of Dreams, combined with the fact that we are extremely proud of the various awards that we've won. For instance, we have 2 of the 4 five-star hotels in Macau. So I think given the attraction, the amenities that we provide, we will continue to stay ahead of the game on that front. And I know some of our competitors have gotten more competitive to try to chase the premium mass market, including potentially giving cash rebates or stuff like that. But from our opinion, from our standpoint, that's completely missing the vote because the premium mass customer nowadays is, in my opinion, the most sophisticated customer in the market, even more sophisticated than the typical, traditional VIP. And what they really want to do is climb the consumption -- consumer ladder and at the same time, climb the social ladder. So I think the private is then the special attraction that we provide and can organize will continue to keep us ahead of the game.
Operator: The next questions comes from the line of Simon Cheung from Goldman Sachs.
Simon K. Y. Cheung - Goldman Sachs Group Inc., Research Division: Three questions. The first one is on the visitation numbers. I think Ted earlier mentioned that your visitation has been keep growing over the last several quarters. Can you perhaps give us some numbers? Let's say, quarter-on-quarter and year-on-year? The reason I asked is the year-to-date, the visitation into Macau seems to be a bit light, only up by about 4%. And just wanted to get a sense how you guys are doing better than the other guys.
Ying Tat Chan: Simon, I think I'm referring to the unique number of the right set of customers, which is premium mass or premium end of mass customers visiting the COD. That number is actually increasing on year-on-year growth, more than the market growth rate that you noticed. In terms of visitation in the property, it's actually quite flat. The reason is really we purposely look at some of the segment, which is more on premium side of the mass and we actually purposely kept some of the promotional visitation at that we did in the last few years. So starting from this year -- middle of last year, we actually purposely reduced the property visitation, whereby the quality of the visitation is much, much more we focus on. So I think in terms of the right category of customer, our year-on-year growth is actually more than they are market GGR growth in the mass segment. [indiscernible]
Simon K. Y. Cheung - Goldman Sachs Group Inc., Research Division: But would you be able to, perhaps, share with us some numbers? Percentage term? That will be very helpful.
Ying Tat Chan: In terms of visitation number in a quarter-to-quarter basis, we at roughly about 42,000 visitation per day in City of Dreams in the last few quarters. So basically, it's flat. In terms of the right category, which is the premium target market, I can't give you the exact number, but I will refer to it as a more than 30% growth year-on-year, I think.
Simon K. Y. Cheung - Goldman Sachs Group Inc., Research Division: Okay. Second questions on your Studio City. I think, in the last conference call, you mentioned that about 95% of the piling work has been completed. Can you guys share with us what is the progress over there, maybe more color on that?
Yau Lung Ho: Sure, Simon, it's Lawrence here. Yes, I think most of the piling work is substantially completed. At this stage, we have started our base slab work and so that's a significant milestone for us, which we're very happy about. And so I think in a few months, you will see the structure coming out of the ground. But I think so far, whether it's construction labor, foreign labor, approval or anything related to statutory approvals, it has been very, very smooth and we've gotten the full support of the government and we intend on building a resort that is extremely unique, never seen previously in Macau. So we're very excited.
Simon K. Y. Cheung - Goldman Sachs Group Inc., Research Division: And how many workers do you have? Last time, you mentioned about 550 or something?
Yau Lung Ho: I think at this stage, we have about 800 to 1,000 workers, depending on the day.
Simon K. Y. Cheung - Goldman Sachs Group Inc., Research Division: Okay. The last question on Philippines. Do you now have any other guidance on the ROIC, given the tax issue? Or maybe before -- if indicates that you cannot resolve it with Pagcor, what would happen with the cash return of the property?
Yau Lung Ho: Well, Simon, you're asking about the Philippines?
Simon K. Y. Cheung - Goldman Sachs Group Inc., Research Division: Yes. Philippines, the ROIC -- expectation of the ROIC with or without resolution on the tax issue.
Geoffrey Stuart Davis: Our view is that the tax situation will be resolved. [indiscernible] No change in our expectation on ROIC.
Yau Lung Ho: Yes, I think, Simon, I think ultimately, though, Philippines is -- it's developing very nicely, as you can see from the recent upgrades from both Fitch now and also S&P, I think, to investment grade. So Philippines is going to be a much bigger market than I think most people will expect. And judging from the government and their recent initiative to increase foreign direct investment. I think just take for example the fact that our MCP listing and the fact that it was injected through the back door, it was a very smooth process all along. And so I think we're very confident.
Operator: Next questions comes from the line of Richard Huang from CLSA.
Richard Huang: I just had question on the mass game area at City of Dreams. Apparently that the minimum bet has -- went up quite a lot and they're starting the bid at quite high at a round. I mean, a lot of tables have minimum bet of HKD 1,000 or even over HKD 1,000. So going forward, does the company -- do you see a lot of upside in building up the mass gaming tables in City of Dreams? And what are the plans to execute that?
Ying Tat Chan: Yes, I think a lot of people are focused on our minimum bet table. I think you have also have to notice that we do change. So from 2 years ago, we actually introduced the -- what we call dynamic pricing strategy on the table. So we do not really purposely increase the number of -- I mean, increase the minimum bet. It's actually we are forced to increase the number -- the minimum bet, according to supply-demand that we have on the floor. So we do not really in purpose do increase to a certain level minimum bet, it's actually the customers -- I mean, their appetite is actually increasing in the premium side of it. So we just adjust according to the need. So that suggests that the efficiency on the floor also play off in terms of the better revenue, i.e. the whole percentage in the last few quarters. So I see a [indiscernible] trend and that trend they continue.
Operator: The next questions comes from the line of Howard Gilbert [ph] from Crédit Agricole.
Unknown Analyst: Wanted to follow up on your opening comments about border expansion. I recall that the Gongbei border gate was close to finishing its expansion? And wondered if you can update with us what the status of that border gate get is right now?
Yau Lung Ho: Hi. It's Lawrence here. I think on the Macau side, the border has increased to 500,000 visitors a day. But I think it's on the Zhuhai side that they are still finishing some work. We've been told that hopefully by summer, but definitely before October Golden Week. So I think that's positive. But I think even more positive from our company's perspective is the fact that there is significant talks about increasing or extending the hours of the Lotus Bridge border. As you know, City of Dreams and Studio City are located in Cotai and as a matter of fact, Studio City is 30-second walk from the Lotus Bridge border. So the extension of hours and I think also from a visitation standpoint, if you look at this year, one of the biggest year-on-year growth areas is the visitations going through the Lotus Bridge border. So we are very confident that going forward, that will be a even more significant area to transport people into Macau. So I think all in all, the infrastructure projects in Macau are going smoothly and we're extremely encouraged.
Unknown Analyst: And one follow-up question. I know you mentioned earlier a variety of things on the capital expenditure front. And I'm not sure I got the right details. I wanted to see if you could tell us what you spent on Studio City in the first quarter? And what you think the spending for 2013 overall should look like?
Geoffrey Stuart Davis: Well, total spending for 2013 is between $800 million to $1 billion. And on Studio City in this quarter, the CapEx was approximately $40 million.
Operator: The next questions comes from the line of Philip Tau [ph] from Standard Chartered.
Unknown Analyst: Most of my questions have been answered. But, Geoff, can you break down the tables by type by casino in Macau?
Geoffrey Stuart Davis: Sure. So at Altira, we had about 140 VIP. And about in 3,200 -- 41 VIP, 32 mass. At City of Dreams, 212 VIP and 240 mass.
Unknown Analyst: Lawrence or Geoff, should we be concerned about this Taiwan issue that came up in January? And I don't know if you can say much about that? Maybe it's ongoing. When do you think we're going to be in a position to hear more about that?
Yau Lung Ho: We are -- Philip, we are cooperating with the authorities, as we mentioned in our press release is that the company hasn't been implicated right now. We've had employees were questioned so we will continue to work with authorities and we -- again, we maintain the fact that we've done everything properly and according to the law and how we conduct ourselves in Taiwan is a carbon copy identical to all of our competitors, whether it's U.S., Australia or Macau. So I don't think this issue would have any effect in terms of our Taiwan aspiration.
Unknown Analyst: Fair enough. I guess one final one. Lawrence, is there still a plan for a walkway between City of Dreams and Sands Cotai Central? I recall that being on the plans at one point?
Yau Lung Ho: No, I think on the plans is it's really -- obviously, the government wants the entire Cotai area to be connected. With the weather in Macau, the fact that it's hot and humid most of the time and raining other times, it makes perfect sense to have elevated and covered walkways, linking up all the properties in Cotai. And I think that was the intention of the government. So I think we've been diligently and enthusiastically working with Sands China on coming to a solution. I think from our side, we are ready to go, so we're just really waiting for our neighbor.
Operator: Next questions comes from Karen Tang from Deutsche Bank.
Karen Tang - Deutsche Bank AG, Research Division: I was walking around your City of Dreams floor yesterday. And I realized that on the second floor, you guys are adding more stadium style ETG. Can you remind us how many more ETG seats you're adding? And then can you give us a rough sense on performance? For example, revenue per seat, how does that compare to the other normal slots?
Ying Tat Chan: All right, Karen. The -- we just previously add additional seats there. So we have total roughly 190 stations on the floor at the moment. The performance, before we add the additional station, the performance per station roughly about at 50% above the average slot performance on the floor. So -- and after we add those units onto the floor, we -- it's actually ramping up quite quickly, and it's about slightly above the on floor average slot at the moment. And we see an upward trend towards the number that I just mentioned.
Operator: Next questions comes from Kenneth Thong [ph] from JPMorgan.
Unknown Analyst: I have a question regarding the cost structure and as well as the margin. If I look at like on a quarter-on-quarter basis, your rolling chips and slot revenue pretty much lie flat quarter-over-quarter. Mass revenue is up around like $28 million and yet on a luck-adjusted EBITDA, it's up around like $25 million. So effectively, most of your game revenue from the mass is actually transfer into the EBITDA. So is there any like one-off cost in either quarter that's could have a lead to the margin increase? Or am I missing anything by doing the analysis this way?
Geoffrey Stuart Davis: I don't believe you missed any one-offs in there. It's really just a reflection of our getting the flow through on the incremental gaming revenue that we're generating through our proactive efforts.
Unknown Analyst: Okay. But in the first quarter, your cost should also increase slightly because of the wages hike, right?
Geoffrey Stuart Davis: Since you're modeling, you should anticipate as of April an increase -- and it's fairly market wide -- of a 5% wage rate increase in your model. That's not inconsistent with what we experienced last year as well, despite incremental slide in the market and incremental staffing needs across the market. So this year, we think 5% is very manageable and one that we expect to be consistent throughout the year. But I would encourage you to reflect that in your models going into the next quarter.
Operator: Thank you, ladies and gentlemen. In the interest of time, I will now like to hand the conference back to the management for any closing remarks.
Geoffrey Stuart Davis: Well, thank you, everyone, for joining us, and we look forward to hosting another call 3 months from now.